Olivier Bohuon: Good morning, everyone. Welcome to fourth quarter and the full-year results presentation. I will start giving my thoughts on 2014 as a whole and give you some perspective on 2015. I will then hand over to Julie to take you through the numbers. As usual, we will take the questions at the end. 2014 has been a good year for Smith & Nephew. We have continued our journey to transform the company and I'm very happy with the progress that I see. We have made important investments for the future and I am increasingly confident in our prospects. Financially, our top-line growth was 2% underlying, and our margin improved by 20 basis points, both despite the significant headwind of RENASYS, and EPSA increased 8%. We have deployed our free cash flow and balance sheet to invest in high growth platforms. We acquired ArthroCare for $1.7 billion and have increased the dividend by 8%. This demonstrates our balanced and disciplined use of cash for the benefit of our shareholders. I hope, by now, you all know our five strategic priorities and I remain absolutely committed to these; not just because I like a clear, consistent direction but because they're working. By delivering on them we have made Smith & Nephew stronger and more efficient with an ever-greater proportion of the group in higher growth segments and geographies. This journey is not complete, and perhaps never will be, but during 2014 we delivered a number of important actions to accelerate this transformation. In established markets in 2014, we have strengthened our existing business through both investment and greater efficiency. Our orthopedic reconstruction business improved, as we said it would, and our advanced wound bioactives achieved mid-teen growth; again, as we said it would. We also pioneered a new commercial solution for orthopedic reconstruction called Syncera. This solution provides clinically proven primary hip and knee implants together with streamlined delivery and support processes. The potential savings for the customer from this model are very significant. In the emerging markets we had another very strong year. We have increased the proportion of group revenue from these markets to 15%; up from just 8% in 2010. Virtually all this growth has come from bringing premium products to high-tier customers. In addition, we are also addressing the mid-tier and driving the next stage of our emerging markets growth story. I make no apologies for again saying that innovation lies at the heart of what we do. In 2014, we launched many exciting products, including a cruciate retaining version of our state-of-the art JOURNEY II knee. Simplifying and improving our operating model is crucial from both a cost and agility perspective. In 2014, we announced a further program to realize at least another $120 million of savings. ArthroCare, Smith & Nephew's largest acquisition to date, reinforced our sports medicine business. The integration is progressing very well and we expect the synergies to add $85 million to annual trading profit by 2017. I could give you many more examples, but I want to turn to the future. What do we expect from our business in 2015? Well, frankly, to build on the platform we have created over the last few years and see those benefits more strongly in our financial results. In the established markets, we expect our better recon dynamic to continue. Our U.S. business has been above the market for the last three quarters. We are now very close to the market growth rate on a worldwide basis. I have talked before about the improvement I want to see in advanced wound care and in the European business, and I know the actions we have taken in 2014 will deliver a much better performance in 2015. In emerging markets, we continue to perform strongly, delivering 17% revenue growth in 2014, with our performance in China again being the highlight. In 2015, I expect a similarly strong performance. This will be driven by our existing premium-tier business, including a greater contribution from Latin America, particularly in Brazil. We will also increasingly benefit for our mid-tier growth. Innovation is not about new product only for Smith & Nephew, it's about new commercial models to fulfill the unmet needs of customers. We're maintaining our R&D investment at around 5% of sales and have a strong launch pipeline for the future. In terms of our efficiency, as Julie will demonstrate, this work is progressing well and the savings will more directly drop straight through the bottom line. We have established a strong track record in making, integrating and achieving the returns from acquisitions. Overall, we have completed 15 acquisitions since 2011 for a total value of $2.8 billion. Our appetite for more, provided they meet our disciplined criteria, is undiminished. For me, this year's performance clearly reflects the improving growth profile of Smith & Nephew. A short period ago, two-thirds of our revenue came from lower-growth areas. We are now well on our way to our next target of two-thirds from higher-growth areas. We've improved our existing businesses, delivering a better performance in U.S. recon and continued strong growth in the emerging markets. We have strengthened our higher-growth platforms, acquiring ArthroCare from which we'll drive substantial revenue and cost synergies. And we have created new growth platforms by launching the mid-tier portfolio and Syncera disruptive models, as well as advance wound bioactives, which again delivered double-digit growth in 2014. The journey to transform Smith & Nephew continues, we are now set to increasingly reap those benefits and accelerate our growth. As a result, I think you will see the benefit of our investments over the last few years more clearly, in our financial results in 2015 and beyond. Hence, I am confident as a group, we will deliver stronger underlying revenue growth in 2015. While doing so, we will also drive returns for greater efficiency, margin accretion, tax, and asset utilization. So now, turning to the highlights of the Q4 2014, here we delivered underlying revenue growth of 2% this quarter. After adjusting for the currency headwind and the impact of ArthroCare, this represents a reported growth of 6%. This quarter again reflects our strategy to rebalance to our higher-growth geographies and franchises. In our higher-growth geographies, the emerging markets in Q4 grew 18%. With our higher-growth franchises, we grew 8% in sports medicine joint repair and 16% in advanced wound bioactives. Elsewhere, U.S. recon has grown above the market rate for the third consecutive quarter, driven by standout growth of 8% in U.S. hips. ArthroCare has continued to perform very well. Europe and advanced wound management partially offset this performance. As I have said before, I'm confident in the measures we have taken to address this, and we see a change in the dynamic in these geographies or businesses. Trading profit was $325 million, giving a trading profit margin of 26.1% which is an increase of 130 basis points over the last year. This good performance reflects a number of items, including the early synergies from ArthroCare. We achieved EPSA growth of 9%, mainly reflecting the addition of ArthroCare, the positive operational performance and obviously, the results of a lower tax rate. We propose a final dividend of $0.186 which is up 9%. This is a slide which, on the left-hand side, shows geographically the underlying growth in the quarter and on the right, by product franchise. In the U.S., revenue growth was flat. The positive growth in our ASD franchises and in bioactives was offset by advanced wound devices and advanced wound care. In the other established markets, sales declined by 1%, primarily due to Europe. Emerging markets grew by 18% and we are pleased with the performance finishing again another strong year. We performed strongly across most countries; I was mentioning China, but certainly China, the Middle East, Turkey, South Africa were very strong. I will now turn to look at each franchise in more details, starting with hip and knee implants. In the quarter, we sustained our improved performance in U.S. recon. Demand for our VERILAST hip technology and increased focus on the Direct Anterior Approach drove strong volume growth with U.S. hips growing at 8%. In U.S. knees, revenue was flat. Good performance again, against a very strong comparator in Q4 last year with 11%. We continue to see strong traction and uptake of JOURNEY II. Taking a step back, a few years ago, I set out the actions which will improve our relative recon performance. We invested behind unique technology like JOURNEY II and REDAPT, focusing on patient unmet needs. And you can see now these improvements being sustained. For the full year 2014, we grew at the market rate in the U.S. and our OUS performance was only held back by Europe. Overall, our 2014 recon growth rate improved by around 3 percentage points on 2013, we have more to do, but I'm very encouraged by this trend. And finally, I'm very happy with the progress made on Syncera. I am pleased with the contracts that we have signed and very excited about the prospects. Turning to sports medicine joint repair and the enabling technologies, both include ArthroCare sales for the period. Sports medicine joint repair had another good quarter, growing at 8%. We continue to benefit from the success of a number of product launches earlier this year. Enabling technologies now includes Coblation wands from ArthroCare. Our resection segment had a good quarter overall, helping to lift the underlying growth of the trauma franchise at plus 2%. Trauma and extremities revenue grew by 3%. Our extremities business has continued its excellent performance, delivering another quarter of strong double-digit growth still off a small base. Turning to advanced wound management, which was down 2% in the quarter, advanced wound care revenues were down 1%, which is an improvement on Q3 due to ALLEVYN Life and very strong sales in the emerging markets. The overall performance is obviously weaker than I would like, although is in line with our expectations for the quarter. I have previously talked about how we are addressing this and I know that we'll see continued improvement in 2015, Advanced wound devices was up 7% outside the US. However, the U.S. distribution hold on RENASYS pushed global sales down 27% and the remediation is a key focus for the management. We also are progressing with the launch plan for our next-generation traditional negative pressure product, which we expect to release later this year. PICO growth continued to be very strong across all geographies, supported by clinical studies demonstrating the efficacy of the product on a wider variety of conditions. In advanced wound bioactives, we grew at 16% and, as expected, we delivered on our full-year guidance of mid-teen growth. The highlight of the year was a strong growth in REGRANEX following its re-launch in late 2013. SANTYL remains a unique product in the debrider category and will continue to deliver a very good growth, so now, over to Julie.
Julie Brown: Thank you, Olivier, and good morning, ladies and gentlemen. So turning to the Q4 results, I'll focus on five items; revenue and income and statement, profitability by segment and trading margin, cash flow and capital allocation, changes to reporting, and our 2015 guidance. My first agenda item is an analysis of revenue growth by business segment. Overall, group revenue in the quarter grew 2% on an underlying basis. As a reminder, when I refer to underlying growth rates, I'm adjusting for the effects of currency translation and including the comparative impact of acquisitions. By division, advanced surgical devices grew by 4%, compared to the same quarter last year. Wound management declined 2%. The decline in wound was due to the distribution hold on RENASYS and, without this, AWM growth was 3%. Acquisitions added 8% to our reported growth rate, driven by ArthroCare in ASD. And currency was adverse by 4% for the group in the quarter, primarily due to the strengthening of the dollar against the euro and sterling. In reported terms, group revenue growth for the quarter was 6% and, for the full year, group revenue also grew 2% underlying and 6% on a reported basis. Finally, there is made no adjustment for sales days. There was one additional day this quarter compared to last year, but the impact was not significant because the day fell during the holiday period. Turning to the income statement, trading profit in Q4 was $325 million, a 7% increase on an underlying basis. And looking at the adjusting items, restructuring costs, mainly related to group optimization; acquisition and integration costs, mainly related to ArthroCare; and this acquisition also drove higher intangible amortization. Finally, legal and other costs in the quarter reflected three items. There was a charge of $28 million related to our HP802 R&D program, which I'll refer to on the next slide. And offsetting this, there are $20 million of non-trading gains relating to the U.S. pension scheme and our disposal of our manufacturing facility in Gilberdyke in the UK. Our trading margin improved to 26.1% in the quarter and I will return to this shortly. And a full reconciliation of our adjusting items is given in note 8 to our announcement. Now to provide an update on HP802, following the phase III trial data that we announced in October, we've completed a thorough assessment to determine the future direction of the program. And as a result of this, we've made the decision to stop the phase III trials. This will lead to a one-off charge of approximately $33 million, comprising lease and fixed asset impairment costs of our Swiss and U.S facilities, clinical trial decommissioning costs and redundancies. Of the total charge of $33 million, $18 million is cash and $15 million is non-cash. $28 million has been incurred this quarter, with the balance expected to be incurred in Q1 2015. We still firmly believe in bioactive technologies for wound healing and we continue to research into cell-based therapies. Turning back to the remainder of the income statement, our full-year tax rate is reduced to 27.7%, a reduction of 150 basis points from last year's rate and ahead of previous guidance. EPSA is increased by 9% in Q4, due to the underlying increase in trading profit; also benefiting from ArthroCare and a lower tax rate, partially offset by higher interest and foreign exchange headwinds. Returning to my third agenda item, profitability by business segment and trading margin; the Q4 group margin was 26.1%, an increase of 130 basis points compared with the same quarter last year. This includes an insurance credit due to the business interruption suffered earlier in the year, due to the flood in our facility in Hull. The claim increases the Q4 margin by around 100 basis points, but this is neutral for the full year. Our ASD margin was 28.3%, an improvement of 370 basis points. This follows a strong U.S. hip performance, delivery of efficiency benefits and initial synergies from ArthroCare. Advanced wound management had a margin of 19.9% including the insurance claim. The decline in wound's margin is due to reduced operational leverage, product mix and RENASYS. RENASYS impacted the AWM margin adversely by over 200 basis points this quarter. For the full year, group margin increased by 20 basis points to 22.9%. And to give you a little bit more insight into this, RENASYS impacted the group margin adversely by 30 basis points for the full year and the AWM margin by 130 basis points for the full year. As guided, we lost sales of RENASYS in the second half, but we redeployed our sales teams to other areas of the business. In order to provide some more contexts around the margin, I'll give you a summary of the key drivers in our margin over the last three years. In 2011, we announced our structural efficiency program and, at that stage, the Group margin was 22.5%. And since then, we've delivered a series of very important transformational steps in the business to drive growth. First, we combined the ortho and endo businesses to form ASD and, with this, we were able to remove duplicated back office services supporting the two legacy businesses. Second, our manufacturing strategy; we rationalized our footprint and expanded our facility in China. This year, we announced our Group optimization plans and ArthroCare synergies and we're beginning to see the benefits of this. But we also faced significant margin headwinds. The medical device levy has cost around 0.5% on margin. And we continue to see aggregate headwinds on price of around 1% to 2% per annum across the Group. Our actions on cost of goods improvements have offset this, such that gross margins over the period have remained broadly stable. And now I'd like to move on to the selective investment choices we have made to build a platform for future growth, so we've invested in R&D, rising from 3.9% to over 5% of sales, and we have a strong R&D pipeline, together with important product innovations. We've invested in emerging markets and the benefits are clear. We've delivered double-digit growth in emerging markets in 10 out of 12 quarters, averaging more than 15% growth per annum. And we've invested in sales teams and marketing, mainly DTC, where we view there to be a strong return on investment; for example, bioactive, U.S. reconstruction, trauma and extremities. As you can see, we've invested significantly and this has impacted our margin delivery. Now, let me give you some insight on how we see this evolving. First, we expect to see a continuation of pricing pressures, but anticipate being able to continue to match this against cost of goods improvements. Secondly, we will deliver synergies from our acquisition of ArthroCare, as we've guided. And finally, the Group optimization program will deliver benefits of $120 million over three years with only selected reinvestment. Now, an update on cash flow and capital allocation, we had a strong fourth quarter for cash, with trading cash of $366 million, compared with $281 million in Q4 last year, and trading cash conversion was 113% in Q4 and 74% for the full year. Now turning to the full-year cash flow and how we put our capital allocation policy into action, we started the year with net debt of $253 million and generated free cash of $683 million before CapEx. Capital expenditure was $375 million, or 8% of sales, reflecting investment in instrument sets for JOURNEY II and extended manufacturing facilities in the US and in China. Dividends paid of $250 million reflected our policy of increasing our dividends in line with earnings. And for acquisitions, our net cash spend of $1.6 billion is, of course, predominantly ArthroCare. Finally, within other cash items, there have been three major flows. Our associate, Bioventus, repaid $160 million of loans during the year. We repurchased $75 million of shares, equivalent to the value of the shares issued under employee incentive schemes; and we received $20 million for the disposal of our extruded films manufacturing line based in Gilberdyke. At the end of the year, we closed with net debt of $1.6 billion, representing a ratio of 1.2 times net debt to EBITDA. Now before I turn to the 2015 guidance, I'd like to inform you of two changes to our reporting in 2015. One relates to segmentation and the second to our reporting calendar. So in recent years, we've reported revenue and trading profit by two global divisions, ASD and AWM and, in addition, we've provided further revenue analysis by product franchise. As part of Group optimization, we've now created a single unified operating structure, with a single cost base, led by one managing director in each major country of the world, excluding the U.S. Given the way we manage the business has changed, we plan to reflect this in the way that we report our results, we will continue to provide revenue analyzed by product franchise but, from 2015, we will provide the trading margin at the Group level only. In addition in 2015, we'll simplify our reporting calendar. We will issue interim statements at the half-year and prelims at the full year, as we have done in the past. But in our Q1 and our Q3 results, we will issue quarterly trading reports. These will provide our normal revenue analysis by product, franchise and region, and provide a directional comment on the overall performance of the business. In all four quarters, we'll continue to present our review of the business and offer an opportunity for Q&A. In making this change, we believe that our disclosure will focus on the more meaningful six month period in the context of our business, and focus on the important longer-term drivers of growth. Finally, I want to emphasize that the company is very focused on ensuring that investors and analysts continue to have as much access to the business as you do today, so that you can continue to obtain a full understanding of the developments in our business. And so to the final item on my agenda. I want to demonstrate the financial linkage between our strategy and delivering sustainable shareholder returns. And I'll also use this framework to put our 2015 guidance into context. Our five strategic pillars of course you'll be very familiar with by now; driving growth in established and emerging markets, innovation, simplification, and acquisitions. The middle section of this slide shows how we focus on driving growth and shareholder returns in our business. First, revenue. As you've heard from Olivier, we are rebalancing our business to higher-growth segments. The markets in which we operate are collectively growing at about 4%, and we are confident that our strategy will drive increasing our performance. In this context, in 2015 specifically, you can expect to see higher underlying revenue growth than that achieved in 2014 before the impact of currency and acquisitions. Second, trading margin. We are committed to a meaningful improvement in our trading margin over the next three to four years. This is underpinned by our synergy benefits in our ArthroCare acquisition, and in our $120 million group optimization program. In 2015 specifically, you will see a further improvement over last year's margin. Third, EPSA, we've also committed to an improved tax rate. We guided to a 350 to 400 basis point improvement in our tax rate over four years. 220 basis points have now been delivered to date, and you can expect to see our tax rate reach 26% to 26.5% by 2016, barring any changes to tax legislation. In 2015 specifically, you will see an improvement of 50 to 60 basis points in our tax rate. Finally, through our capital allocation framework you can see the priorities for the use of our cash and how we've consistently put this framework into practice over the last two years. So with regard to 2015 guidance, we can expect to improve underlying revenue growth and trading margin compared with 2014, and EPSA growth will be leveraged by the tax rate improvement before the impact of exchange. To further help with your models; one, our technical guidance is included in our appendix; two, I would like to guide you on currency, given the recent volatility in the markets. Based on exchange rates at the end of January I expect to see an exchange headwind of 6% on revenue for the full year, assuming the end of January rates prevail throughout 2015. The impact of exchange will be more pronounced in the first half. And three, phasing. In the first half, our underlying growth will be impacted by the RENASYS comparator in the U.S., but our reported growth will benefit from the impact of the ArthroCare acquisition. In summary, this framework shows how we think about the three main leaders of driving growth in the business; revenue, margin and EPSA growth. And this combines with our capital allocation framework to maximize value to our shareholders. With that, I'll take questions at the end, and very happy to hand back to Olivier.
Olivier Bohuon : Thank you, Julie. So very briefly in conclusion. Through the execution of the strategic priorities, we have made, I think, very good progress on our journey to transforming Smith & Nephew towards higher growth and much greater efficiency. We have completed much of the necessary improving and strengthening of our business, but to continue to invest in our growth platforms and in creating new growth drivers for the company, which will benefit the company for many years to come. As the work continues to pay off, you will see the financial benefit in 2015 through, as Julie mentioned, higher revenue and higher margin. And I'm confident that these improvements you will see in 2015 are only at the start of the journey. Smith & Nephew is set for a new and exciting phase in its 158 years of history. Thank you very much, and that ends the formal presentation. We'll now take the questions please. We'll limit two questions per person to allow people to ask for more.
Operator: [Operator Instructions]
Unidentified Analyst: Two questions. Firstly on Syncera, do you expect the product line to make a material contribution to growth in your hip and knee business in 2015? And then the second question is on the emerging markets. Are you seeing a slowdown in growth in your business in 2015 so far?
Olivier Bohuon: Let me start by Syncera, as you know, we are in a pre-launch phase of Syncera and we have signed a number of contracts now. Those are three years contract, and we expect to see new prospects coming. So is it meaningful contribution? No, but it will start to have a contribution on the business in the reconstruction.
Unidentified Analyst: First adding a point of growth or so seems unreasonable for 2015. Is that --?
Olivier Bohuon: I am not going to give you any guidance on this. As you know, we are in the process of finalizing all this Syncera, so I won't give you any type of guidance. I'm sorry. Actually, you will have Syncera complete feedback I guess at half-year, Phil? So we'll give you much more insight of where we stand and certainly more numbers. In the emerging markets, second question, we have not seen any type of drop in the growth. Actually, we are doing better in a few geographies than what we used to do. China, which is one of the biggest countries for us, is very stable in growth and we have not seen any drop, despite the GDP is slightly lower than what it used to be South Africa has been very strong this year for us; Turkey has been extremely strong. Middle East has been strong; we have benefit also from a tender in Middle East this year. So no, we have not seen any type of issue.
Veronika Dubajova: Veronika Dubajova, Goldman Sachs. Two questions, one for Julie; in terms of the ArthroCare efficiencies that you've achieved so far, have they exceeded your expectations? And then if you can give us any guidance on how we should be thinking about those being phased in throughout 2015 and into 2016 that would be very helpful. And the second question is just on the recon business for you, Olivier. Looking at your performance it seems U.S. is doing better, but rest of the world's doing slightly worse. And I wonder if you can comment on, is this market issue, is this product launch issue, and what we might be getting from you in 2015 to fix the OUS performance on the recon side of things, because you've made great progress in the U.S. this year?
Olivier Bohuon: Let's start with recon because that was your last question. We are doing well in the rest of the world. The only downside that we have seen in recon has been Europe. Europe has been mainly driven by the issues we have faced in knee in Germany in Q2 mainly and Q3, with the PLUS knee products issues. So if you exclude Europe we do well and actually if you look at Q4, the market growth on a worldwide basis has been 2%, and we have been growing at 2% on a worldwide basis. We have beaten the market in the US in both hip and knee, and obviously look at what we've done, which by the way tells you that you don't need to be big to be efficient, which I've always said. And we have been growing like, this three quarters in a row, so it's something which I really believe is telling you how important are the disruptive technologies and how good are the product we have. And also, I really believe that the second layer of growth, which is the Syncera model, will bring us, in the future, a significant growth in the recon business. So disruptive models and disruptive technologies, so Europe, yes, Europe is recovering. We'll do better and better in Europe so I'm expecting a growth in the recon on a world basis to be good for next year. Julie, do you want to answer?
Julie Brown: Yes, for sure. Thanks, Veronika, for the questions. Yes, ArthroCare, we're really pleased with the progress we've made in ArthroCare. As you know, we acquired it at the end of May; we've made great progress already with the integration of what you might call the back office. We've put ArthroCare onto our North American shared service platform already in the fourth quarter. In terms of the synergies and when they'll drop through, as you know, we've guided to $85 million of synergies by 2017; $65 million of those relate to cost. I think you can see that coming in more meaningfully in 2015 and through, and obviously the peak will be in the 2017 year. And with regard to sales synergies, they will take a little bit longer. As you know, we mentioned that initially we would have some degree of disruption because we put the U.S. field forces together in September, so we can start to see those coming through later in the period that we've guided to, to 2017
Olivier Bohuon: Having said that, Veronika, it's important to notice also it would be very difficult in the future to talk about ArthroCare and Smith & Nephew. We're now all together; the sales force has been, as I said in Q3, put together with different accounts, so they promote the full range of products. So it would be very difficult to know what ArthroCare is doing, what Smith & Nephew is doing. The most important thing to look at Smith & Nephew sports medicine as a whole and see how we do.
Yi-Dan Wang : Yi-Dan Wang from Deutsche Bank. Just two questions. The first question is on the wound care business. Looking at the operating profit of the division for the quarter, and adjusting for the direct impact of RENASYS and I suppose the gain that you got from the settlement for the Hull disruptions, that there's still quite a big shortfall in operating profit. It sounds like, or it feels from our end, that more investment's perhaps gone into the business, if you could provide some color on that, and how we should think about that business overall into 2015, whether you've seen the peak disruptions from the reorganization there, just some color would be great? And then the second question is to Julie on FX. You've given a good indication on the impact on revenues; can you also comment on hedging and the impact on the margin, based on current rates for 2015 and possibly 2016, given that hedging would delay the negative impacts. Thank you. 
Olivier Bohuon: You're right on advanced wound care; on advanced wound management in the U.S. the operating profit is low for different reasons. This is despite the reimbursement of the insurance claim corresponding to the Hull flood that we have had last year. But again this impact the quarter; if you look at the full year it's a washout. We have a plus today in profit, but don't forget it is something we have lost in Q1, actually a bit in Q2 in terms of revenue and profit in sales. We have not solved the problem, so it's a wash in terms of margin for the full year, it's a plus for the quarter. If you look at the investment yes, we have invested more in advanced wound care. As you know, we have decided to re-boost the advanced wound care in the U.S. We have changed the management; we have changed the philosophy; we have changed the product allocation; we are changing incentive systems. And I can tell you that you will see the results of this, I was mentioning that in Q3, big time in 2015. So I'm very confident of 2015 in terms of advanced wound management. Excluding the RENASYS effect, as Julie has mentioned in her presentation, the first half will be impacted, obviously. But in terms of the dynamic, advanced wound care will be strong in terms of growth and we expect some very good results there.
Yi-Dan Wang : In terms of phasing, should we still expect the business to suffer some incremental disruptions versus what we've seen in the fourth quarter in the first half of the year, or we should see a gradual [improvement]?
Olivier Bohuon: No, you should not see any type of issue; advanced bioactive will grow also at the double digit. We will see advanced wound care recovering; the only thing that we will not see is RENASYS in the first half. The margin I give the floor to Julie because she's scared when I talk about the margin and financing.
Julie Brown : Yes, we've rehearsed the margin questions, haven't we?
Olivier Bohuon: I will give you my views after Julie.
Julie Brown : Okay, so foreign exchange, you want me to pick that one up. Yes, when we run the rates that we've got throughout, assuming they're the same throughout 2015, the end of January rates, we're seeing a minus 6% on revenue. And your question was directed to, what happens to margin or what kind of hedging have we got in place? The business has got a natural hedge in place already because our SG&A, relative to our sales, we try and have the SG&A in the same currency, so we've got a natural hedge in place. In addition to that, we also do hedge transactional exposures. Clearly, we don't speculate on foreign exchange, but transactional exposure is when we're buying stock or whatever inventory, then we do hedge transactional exposures. So in summary, you can expect to see a slightly lower impact on profit than you'd see at the minus 6%, because it's probably going to be only slight. It will depend because the stock has to turn through the system, obviously. Your second part of your question related to 2016. If the rates prevailed, clearly some of the forward hedging contracts we've got in place they would expire. So yes, you'd probably expect to see a bigger impact potentially in 2016 if the current rates prevailed. I don't want to get drawn on specific currency effects in margin because it's complex with all the hedging that we do taking place in the business. It will be slightly less impact on the profit than it is on the revenue, but I don't really want to get drawn into specific percentage points on the margin.
Unidentified Analyst : I just had two questions. On RENASYS, when you ran into the problems in the middle of last year, you sort of seemed to be steering to a resolution in early 2015. And from Julie's comments, it sounds like that's probably going to drag on a little bit longer. So maybe you could just give us an update on when you expect the RENASYS issue in the US to be resolved? And then the second more general question, Smith & Nephew has never been shy or nervous or cautious about being disruptive, from a business model perspective, you launched your blue sky wound pressure products at risk; Syncera is a disruptive model. First what intrigues me is, which bits of your business do you think need disrupting, which bits are vulnerable to disruption by somebody else, and where could be the next disruptive business model that you might roll out?
Olivier Bohuon: That's a very interesting question. So, RENASYS, just to start, RENASYS, Julie has been cautious rightly on this. Actually, we have not changed our minds; what we have said is the first half. We said that actually in Q3, and we confirmed this at first half, so having said that, we are developing a second generation of traditional negative pressure product which is supposed to arrive also midyear this year. Regarding this disruption, it's easier to be disruptive, and actually essential to be disruptive, when you are a small player. And I'm not sure I would have been disruptive in reconstruction if I had a 40% market share. I think 11% market share in recon, you cannot allow yourself to be disruptive in terms of model, and Syncera is a good example of what we do. I do believe that the only way to be successful today is bringing disruptive products. If you don't do that, if you're bringing in tools you get nowhere, absolutely nowhere. Price erosion is there, competition is there, share of voice and if you admit to it not making a difference, so you are dead. So it's very important to say, I want to focus my R&D on something which makes a difference, which could be rewarded by the payer with a premium price, and then you win. I think that the VERILAST is a great example of this. JOURNEY II is another good example, and we have a lot like this. And the guidance we gave to the R&D council of the Company recently was, don't even think about doing something which doesn't bring a difference. Disruptive model in the mid-tier, in the emerging markets in the mid-tier is another good example. It took time; it's not something which is easy to do. It took us about two/three years to make it happen; to create the platform; to have the proper R&D. We have known products. It took us also time to settle in the different countries the proper organization to support this mid-tier strategy. It took also a number of acquisitions, like Adler in India. So it's a long time, but we do it and will continue this. Now the very interesting part of your question also is, what we do we fear? Do we see any type of potential disruption coming from another player, model? I don't think so. I think the reverse innovation which was in the air, two-three years ago, with Chinese companies or Indian companies starting to launch mid-tier products in the established market, it's not there. And I think that now that I really know better the complexity of this established market, it's not just bringing a product. And that's why Syncera is strong because of its products, safe products known products with a very strong streamlined process. So I don't think they will come with this one. Now products yes, but we are also is it 3-D printing, is it the robotics of Mako, is it this type of thing? It will take a lot of time to come. I don't see, to answer shortly, any disruption in terms of products able to push us away from the market in the near future. And we're very cautious about this and so on.
Unidentified Analyst: If I had to look at it from the outside and maybe put some words in your mouth, the trauma business is the one which looks most ripe for some kind of disruptive technology or model from your perspective. And then, from the outside in, the wound care business looks like one where you've got a pretty healthy market share, some pretty low growth, low profit business, that looks like the one, to me, that's ripe for somebody to come and try and do something, particularly disruptive. Would that be a fair comment do you think?
Olivier Bohuon: In trauma maybe, In wound, I don't see what could come. Look, we have the full range of products in wound care, negative pressure and the biologics. Who can say that? And for me, the big difference wound care will not be the guy coming with a chip on the dressing telling you the PH, because we know how to do that. The big difference would be the guy coming with the biologic. But we know pretty well the scope and we don't believe this will happen soon. Yes, Phil, tells me we need to take some question from the phone, I'm sorry, and then we'll come back to the room.
Operator: [Operator Instructions] And we have a question in the queue from Julien Dormois of Exane. Please go ahead. Your line is open.
Julien Dormois: I have two questions. The first one relates to your guidance for 2015. So you have indicated that you're targeting higher underlying revenue growth. But for the first time in many years, you have not provided some sort of qualitative guidance, business by business, and how you plan to perform in the various business segments that you have. So if you could give us a bit more granularity on the segments by segments that would be great. And the second question relates to R&D costs. Now that you have abandoned basically HP802, should we put in our model somewhat flat contribution from R&D -- at around 5% of sales? Or do you still plan to increase R&D to more than 5%?
Olivier Bohuon: Thank you, Julien. On the R&D, it's true that we are used to go more at 5.2%, 5.3%, 5.4% R&D on sales because of the cost of HP802. With the stop of HP802 we have a bit of money, which is here. Idea is to spend this money, at least a part of this money, either in R&D or in other sales and marketing expenses. We plan to stay at 5% R&D on sales at least, so I think that gives you a good view of what we are it's the heart of our business, so we are very happy of having increased this amount of money. I remind you that we have added $100 million of R&D expenses, went at $150 million three years ago, four years ago. It's now $250 million, even more than $250 million actually, so we plan to stay about same proportion, increasing the absolute number year-after-year basis. On the guidance, it's not that we don't want to give guidance; actually, we were expecting the question so I'm going to give you some guidance. So on recon globally, it will be around the market because of the global stuff. Trauma and extremities, same, around the market growth. Sport medicine will definitely outperform the market. Advanced wound care will outperform the market even, and that's the guidance we give. The wound devices will be below because of RENASYS impact on the first half of the year. And advanced wound biologics will be above market. So these are the market guidance we can give you.
Julien Dormois: That's very helpful. Thank you very much.
Operator: We have no further questions on the audio.
Ed Ridley-Day: Ed Ridley-Day, Bank of America. Just on wound care, you've talked about what you're doing in there and you've clearly already seen some benefit. We've seen the sequential improvement in advanced wound care growth in the last couple of quarters. And then tying that in with what you've just said, just so we're on the same page, what do you view advanced wound care market growth as? And can you give us any additional color in terms of the initiatives you've taken, that you're seeing new client wins, for example, in America, or there are points you can show where you have made significant progress in individual accounts?
Olivier Bohuon: Let me put together wound care and PICO because PICO is not a proper traditional negative pressure, it's a different type of customer. So what we have seen, and what we have done, is refocus the organization on both growth levers ALLEVYN Life and PICO. PICO sales are doing extremely well. We are very, very happy actually across the world, whether it's in the US where the sales are improving big time since we have decided to change the allocation of time of the reps, because before they were analyzing PICO most of them which I think was a mistake. It's a different type of product. Refocusing them on PICO has changed the dynamic of the product. ALLEVYN Life, we have a bunch of products in wound care and I think we're too diluted; there was not enough focus on the growth levers. ALLEVYN Life is doing very well since we have decided to put pressure on the product with a better share of voice. We have changed the system accordingly. In Europe it's the same, exactly the same, and it works also very well with double-digit growth in many countries in wound care. The places where we have launched PICO recently, we have launched PICO in Japan; extremely good results in Japan. We have launched PICO in Brazil, which is also starting pretty well in terms of development. Mexico is also launching as well, so we are very happy with the PICO dynamic. So you can count on the very good growth of PICO, very good growth of ALLEVYN Life. Acticoat is also doing well, so we are really pushing this product. There's not much to say on this. Now, are we going to beat the market? Yes, we beat the market in the U.S, that's for sure. The market growth in the U.S in wound care is about 4% roughly, so we are going to beat the market. In Europe it's slower than that, but I think we're going to beat the market with the good portfolio we have in all the geographies. In the emerging market we do very well. On premium products in the high tier, and we have launched as you know a bunch of foams also, new fronts in mid-tier. Same, great expectation from that. So there's no reason why not to beat the market in all these geographies next year.
Ed Ridley-Day: That's great. Thanks.
Hans Bostrom: Couple of questions Hans Bostrom from Edison. I had a question regarding the competitive environment in wound care. Noting that your two biggest competitors currently number one and three in that environment are privately owned, obviously authority has been formed over the last few years. But would you say that that is creating a different competitive environment to what you were experiencing, let's say three, four years ago, in that business in terms of companies being more disruptive from their part in sales practices and they can afford to sacrifice margins and so forth? That's my first question. And secondly, just to clarify on the ArthroCare synergies, if I understood you correctly the vast majority of the synergies are related to cost. You have done the integration of the important back office already in Q4; is it not fair to assume that the vast majority of the cost synergies will also impact 2015, as opposed to accelerating in the future years? Thank you.
Julie Brown: There are a number of parts to the synergies. Obviously, you've got the U.S. back office. U.S. field force, of which they were both integrated in Q4. We've still got Europe to roll out and we've still got, obviously, the complexities of Europe and international markets to deal with, both in terms of the commercial effort, but also the back office associated with that, which is more complex. So this is why we've guided that it won't be fully there in 2015; it's going to be over a series of years, largely because of the complexities of emerging markets and Europe. And then the other question was about competition?
Olivier Bohuon: Well, KCI, LifeCell and Systagenix actually is bigger than it was when it was just a KCI in negative pressure. But frankly, they are not really competing, except KCI, in our business. Systagenix has not been for us, I would consider Systagenix more as a mid-tier type of range of product. But KCI I think is definitely the leader in negative pressure; there's no doubt on this. The market has suffered a lot in this field, as you know. The value of the US market has dropped big time during the last three, four years. It was $1.4 billion; it's $1 billion in the U.S. So you have a price effect here which has been really bad and, as you said, maybe to increase some volume. So even if I think that we sell portfolio of products we have been able to gain market share on a regular basis. And remember many meetings here where we have given you examples of Japan, where we grew big time and we are still growing better with RENASYS than the negative pressure devices of KCI. In Europe, we have a market share which is also growing on negative pressure. In the US it has been another story this year. But I think it's prices have been -- I think it will be more stable, I hope. And I also think that because of the price level reached in the negative pressure field, the difference of price between the classic dressing and the negative pressure is lower. To give you an example, the cost of a treatment with traditional negative pressure in the US four years ago was around $500 per patient per week, and the average now is, what, about $250? So you see that it is lower and lower and I think it will create some more opportunities of volume because of the price which is there. And so I think the price should stabilize and the volume will increase, so I'm pretty optimistic about the dynamic of the negative pressure; in the U.S. maybe on the longer term, but in the rest of the world also where I can see that better dynamic. Now, environment, you have the same size company. I am not sure they have changed. They are a good company; Coloplast has not really impacted anything with the negative pressure since they have decided to go in negative pressure. They do very well in the wound care. Molnlycke is doing very well also in wound care and I think the attempt they have to go in negative pressure is difficult. Going in negative pressure, it's not free; it's a complex thing to do. It's not just putting some reps and trying to sell your product. It's -having, or except if you are KCI where you have a number of reps, they have I think 700 reps in U.S., you can really use this sales force to sell your products. If not, you have to go with distributors, agreements. This is an expensive business to be in. So I'm not sure that you will see a lot of new players coming in this field. And I think that we are -- I think at least the stronger player in the wound care because of the scope of what we cover, from A to Z.
Operator: And we have our next question from William Plovanic of Canaccord Genuity. Please go ahead. Your line is open.
William Plovanic: My two questions here. One, how do you think about capital allocation, going forward, given the level of debt on the balance sheet? And specifically, how do you think about M&A? And then secondly, just on the business, the hip growth has been very strong, outpacing the U.S. market pretty handily. How much of that is easy comps with the metal-on-metal that was dissipating over the past couple of years versus share-taking? Thank you.
Olivier Bohuon: Let me start this one then Julie will address the capital allocation. Metal-on-metal, do you remember that we have been facing significant headwinds during the previous years? The headwinds were going from minus 30% to minus 20% on quarter-after-quarter basis. This has been stabilized a year ago; we started to see an improvement and a plateau. Having said that, the size of the metal-on-metal business is so small now, has been so small for a while. It was about 7% of the hip business, roughly. So it's less than 1% of the business of the company so it was not significant. You give me some figures? So I was right. Thank you. It is not, I would say, it is not the reason why we grow. It's not because we have less at risk; it's because we gain market share. And if there is an impact it should be marginal. The 8% growth that we have in the hip business, if 0.2% is the value of metal-on-metal that I would say the most I can say. So it's definitely gain of market share, mainly pushed by two factors. The very last value, and actually this is a campaign that we have started December, which you see again the tailwind of this campaign in the U.S and also the importance of the medical education that we have starting on less invasive ANTHOLOGY hip in the U.S. So I think that's all, Bill. So now, on capital allocation, Julie?
Julie Brown : Thanks for the question, Bill. In terms of our capital allocation we've laid it out, I think, quite clearly. We've deleveraged quite quickly since the ArthroCare acquisition so we've now got debt of $1.6 billion and our reported net debt to EBITDA is 1.2 times. You'll see us continuing to use that framework. As to whether we use it for; clearly, first of all organic growth is important. The second thing is the dividend. The third area is M&A, and then the fourth would be surpluses distributed to shareholders. It all depends, really, on the M&A agenda in terms of what we want to pursue. So at the moment, what we're doing is rebuilding the M&A capacity because, as Olivier's talked about, we're focused on M&A activities, or M&A targets, in high growth areas that can support our overall strategy in the business, as you've seen us do already with the Healthpoint acquisition and with the recent ArthroCare acquisition.
William Plovanic: Thank you.
Olivier Bohuon: So we see an appetite for M&A which is, I think, pretty strong, as Julie said, in our growth segment and in emerging markets, we slow down also.
Operator: We will take our next question from Lisa Bedell from Clive, Bernstein. Please go ahead. Your line is open.
Lisa Bedell: A few questions. Olivier, back in August I believe you had promised a midterm margin target of sorts, but really, aside from guiding on the cost-cutting program and mentioning the margin will go up, we haven't really gotten anything concrete. I suppose, in absence of that, and obviously market conditions can change, but if we look at your margin where it is for 2014, if we look at your cost-cutting program of $120 million, is it fair to assume that we could see something like 250 basis points of expansion over the next few years, based on the benefits from that cost-cutting program? And then second question, somewhat related is, Julie, if you can remind us of what the total expected spending on HP802 was going to be when you initially took on those clinical trials, and how much of that has actually been spent? I'm just trying to think of whether there's any cost savings, or whether, in your comments, should we just assume that that's going to get reinvested and we stay at a 5% R&D level in the future?
Olivier Bohuon: Yes, I'm going to jump on the question because if Julie answers she will not have the answer on your question on the margin. You said 200 basis points, that's your calculation and again, what are we -- I'm not going to give you a figure, but you have to think about different items. The revenue growth is better; there is no doubt. And if I can give you guidance on this one, we expect to operate in a market which will be around 4% and we expect, on midterm basis, to grow better than the market. This is what you can have in mind. The second thing is the program that Julie is running, the Group optimization plan, which again, is a mix of procurement, of improvement of the functions, finance, HR, legal and all those things, to adjust them according to the structure we are putting in place in terms of our business, the layers, the footprint, commercial footprint, and so on, and so on, and this will generate $120 million. And as we have said, as Julie has confirmed today, most of this money is supposed to go to the bottom line. So that's very simple. I think it's an easy calculation. Then you have to think about what to invest and what we are going to potentially do in terms of additional investment in Syncera for example, or in the mid-tier, or in other businesses and so on. But you can see that it will be a meaningful improvement in the margin that we expect to see in the years to come. And you make your own calculation with this. Now, what's your second question again?
Julie Brown: Shall I take HP802?
Olivier Bohuon: Well, if you want.
Julie Brown: Yes, so we’re trying to cut in quickly on the margin question here. HP802, yes Lisa, you're right, we're investing in the phase III program. We guided, I think, to around -- well it was costing us about $25 million a year roughly. What we want to emphasize, though, and I did have this question earlier, is, we set up an R&D council because we're oversubscribed in the business for R&D spend because there's so much potential innovation that we could adopt. What we should assume is that there were lots of opportunities that we could have invested in, but we prioritized HP802. What it means is, the R&D council, which is the divisional presidents and ourselves, is we can invest now in other R&D activities that we were pursuing before. So there are things in the ArthroCare portfolio, as an example, that we want to pursue. I think it would be completely the wrong assumption to assume that drops through to the bottom line because R&D spend was oversubscribed. I think you should -- I guess forecast that we'll be spending around 5%, or more than 5%, as Olivier mentioned earlier.
Lisa Bedell Clive: Okay, that's fair enough. And then lastly just a question on the tax rate, you've given us underlying tax rates but, right now, your underlying versus your reported seem to have about a 200 basis point delta for 2014. So it's a bit hard for us to figure out what the reported margin may look like in a year or two's time. Should we expect the underlying and the reported to converge within the next, I don't know, two or three years, or is there something structural here where the guidance that you're giving is not what will actually be reported on a GAAP basis?
Julie Brown: Yes, we'd expect them to move in line, so sometimes there will be a difference, obviously depending on the treatment, the tax treatment of the exceptional items, which will make the biggest difference, things like amortization. But generally speaking, we expect them to both in line, so you should see an improvement in underlying, and reported tax rate in the business, going forward, because we're making structural changes to ensure that happens.